Operator: Ladies and gentlemen, thank you for standing by. My name is Bhavesh, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Perdoceo Education Corporation Third Quarter 2023 Earnings Conference Call. At this time all lines have been placed on mute, to prevent any background noise. Thank you. I will now hand the call over to Davis Snyder with Investor Relations. You may begin your conference.
Davis Snyder: Thanks, Bhavesh. Good afternoon, everyone, and thank you for joining us for our third quarter 2023 earnings call. With me on the call today is Todd Nelson, Executive Chairman; Andrew Hurst, President and Executive Officer; and Ashish Ghia, Chief Financial Officer. This conference call is being webcast live within the Investor Relations section at perdoceoed.com. A webcast replay will also be available on our site, and you can always contact the IR Group for Investor Relations support. Let me remind you that this afternoon's earnings release and the remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934. These statements are based on assumptions made by and information currently available to Perdoceo Education and involve risks and uncertainties that could cause actual future results or business to differ materially from expressed in or implied by these statements. These risks and uncertainties include, but are not limited to, those factors identified in Perdoceo's annual report on Form 10-K for the year ended December 31, 2022, and subsequent filings with the Securities and Exchange Commission. Except as expressly required by the securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect your events, developments or changed circumstances or for any other reason. In addition, today's remarks refer to non-GAAP financial measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The earnings release that accompanies today's call contains financial and other quantitative information to be discussed today as well as a reconciliation of GAAP to non-GAAP measures and is available within the Investor Relations page of the company's website. With that, I would like to turn the call over to CEO, Andrew Hurst. Andrew?
Andrew Hurst: Thank you, Davis, and good afternoon to everyone joining us on this call. I would like to begin by saying thank you to our faculty, student support staff and all our other employees for their continued dedication and educating and serving our students. Third quarter operating results exceeded our internal expectations as we experience further improvements in student retention and engagement. We have continued to execute on our operational priorities and remain focused on further improving student experiences and academic outcomes. Let me review some of the key operational highlights and updates from the quarter. First, student retention and engagement has continued to improve at our academic institutions. An increasing percentage of our enrollments are benefiting from the operational adjustments we've implemented to refine our student enrollment and marketing procedures, enabling them to have a better chance of being successful at one of our academic institutions. Second, we also continue to invest in and leverage technology to enhance academic experiences for our students and improve the efficiency and effectiveness of various student support functions. We are exploring various ways where we can apply generative AI to back-office operations as well as student support processes and the online classroom. We continue to view technology as a catalyst and differentiator for us and are committed to further investing in it to provide a more meaningful and relevant educational experience for our learners.  Finally, in the third quarter, we continued to experience further growth in our corporate partnership program as our teams support organizations around the country to provide debt-free education and training to their employees. Now let me provide a quick overview of our operating results for the quarter. We reported third quarter net income of $41.3 million or $0.62 per diluted share. While adjusted earnings per diluted share, which excludes certain significant and noncash items, was $0.64. Overall, we are pleased with the quarterly results and expect to end the year on a high note as it relates to student retention and engagement.  With that said, I would now like to turn the call over to Ashish Ghia for a deeper review of our operating performance for the quarter. Ashish?
Ashish Ghia: Thank you, Andrew. I will now review our third quarter results and then discuss our balance sheet and 2023 outlook before handing the call back to Andrew for his closing remarks. Please note all comparisons I discuss versus the comparative prior year period, unless otherwise stated.  Before I begin, a quick reminder about year-over-year comparability. Financial results for CTU reflect the acquisition that was completed in December of 2022, while AIU System results are now comparable versus the prior year quarter. Additionally, total enrollment numbers that I discussed, for any enrollment trends that I refer to exclude learners participating in non-degree-seeking professional development programs and in degree-seeking non-title IV self-paced programs at our universities.  With that said, let us begin with an overview of our operating results. For the third quarter of 2023, total company operating income increased by 46.9% to $43.1 million as compared to operating income of $29.3 million for the prior year quarter. Adjusted operating income, which excludes certain significant and noncash items, and which we believe is more indicative of our underlying operating performance was $47.2 million for the third quarter, reflecting an increase of 22.1% when compared to the prior year quarter. This result came in above the high end of our outlook range previously -- outlook range, primarily due to student retention and engagement at our academic institutions continuing to perform better than our expectations. Net income for the quarter was $41.3 million or $0.62 per diluted share as compared to $22.1 million or $0.32 per diluted share in the prior year quarter. While adjusted earnings per diluted share was $0.64 as compared to $0.39 for the prior year quarter. Please also note that the diluted shares used to compute EPS for the quarter and the year-to-date now reflect the accretive nature of the LTP trademark sale, which ultimately had the effect of reducing our outstanding share count. Moving on to some more details around the third quarter 2023 results. Total company revenue of $179.9 million was 6.8% higher as compared to the prior year quarter, driven by revenue growth at CTU. In addition to improving student retention trends, the year-over-year revenue comparability was positively impacted by the academic calendar redesign and CTU as well as the acquisition completed in 2022 that was not part of the full comparative prior year period. As it relates to our segments, total student enrollments as of September 30, 2023, were relatively flat at CTU. Improving student retention and continued growth in total enrollments from corporate partnerships were offset by a negative timing impact of the academic calendar redesign. Total student enrollments at AIU system decreased 34.2% as compared to the prior year quarter. This decrease was expected due to the short-term operational changes at AIU System that were discussed during the prior quarter's earnings call. These operational changes and adjustments were made within prospective student admissions, outreach and enrollment processes and were undertaken early in the year to ensure compliance with anticipated or final regulatory changes. While they were necessary, we are pleased to share that as planned, marketing and admissions teams have begun to revert to normalized levels of operations in the fourth quarter and commensurately as compared to the fourth quarter, we expect AIU System to experience significant total enrollment growth in subsequent quarters. Third quarter revenue at CTU was $120.6 million or 23.6% higher than the prior year quarter, primarily due to a positive timing impact from the academic calendar redesign and the 2022 acquisition as well as growth in our underlying organic enrollments. Operating income for the quarter increased to $34.5 million as compared to $31.5 million as revenue growth was partially offset with increased expenses in academics and other student support areas as well as for our recent acquisitions. Turning to AIU System. Revenue decreased 16.1% to $59.2 million for the quarter, driven by the decrease in total student enrollments. Operating income for the quarter increased to $15.6 million as compared to $9.6 million as lower operating expenses primarily within admissions and marketing, more than offset the decrease in revenue. Overall, we ended the quarter on a high note as it relates to student retention engagement at both our academic institutions, partly aided by the positive impact from Federal Student Aid initiatives.  Moving on to corporate and other. Third quarter operating loss was $7 million as compared to an operating loss of $11.8 million in the prior year quarter. Legal fees primarily associated with responses to the Department of Education relating to loan forgiveness applications by former students were lower for the current quarter. Please refer to the disclosures regarding borrower defense to repayment in our 10-K that was filed earlier this year for additional information on this matter. Now to income taxes. For the third quarter, we recorded a provision for income taxes of $6.8 million resulting in an effective tax rate of 14.1%. The effective tax rate for the current quarter was impacted by a $4.5 million favorable discrete adjustment related to the recognition of the tax benefits associated with the previously disclosed prior year ordinary loss attributable to a subsidiary, which decreased the effective tax rate for the quarter by 9.3%. Additionally, the current quarter effective tax rate reflects the impact of provision to return tax credit adjustments, the tax effect of stock compensation, and the release of other previously recorded tax reserves, the combination of which reduced the effective tax rate by 0.8%. Finally, we expect that for the full year 2023, our effective tax rate will be between 22.5% and 23.5%.  Moving to the balance sheet. For the third quarter, net cash flow from operations was $32.6 million versus $52.9 million in the prior year quarter, while year-to-date cash flow was $98.8 million versus $107.6 million. We ended the quarter with $603.7 million of cash, cash equivalents, restricted cash and available-for-sale short-term investments, which was approximately $85.5 million higher versus year-end 2022. Capital expenditures for the third quarter were approximately $1.2 million or 0.7% of revenue. For full year 2023, we foresee capital expenditures to be approximately 1% of revenues. Before I share the updated outlook, let me take a minute on capital allocation. During last quarter's call, we announced our inaugural quarterly dividend that was paid in September 2023. Today, we are pleased to announce that consistent with our dividend policy, the Board of Directors have approved the third quarter 2023 dividend payment of $0.11 per share, payable on December 15, 2023, to the holders of record of Perdoceo's common stock at the close of business on December 1, 2023. To provide context, on an annualized basis, this quarterly dividend represents roughly 20% of our trailing 12-month free cash flows. Future quarterly dividends are expected to be paid out of the free cash flow for the relevant year, subject to Board approval and the company's available retained earnings, financial condition and other relevant factors. Subject to the requirements just mentioned, we expect quarterly dividend payments will be an integral and growing part of our balanced capital allocation strategy, which also prioritizes investments in organic projects in particular, technology-related initiatives designed to benefit our students and maintaining a strong balance sheet. We will also continue to evaluate diverse strategies to enhance stockholder value including acquisitions and share repurchases.  Turning to our updated outlook for 2023. We are again raising our full year adjusted operating income outlook to now range between $171 million and $174 million as compared to the previously provided range of $165 million to $172 million. Further, adjusted earnings per diluted share is expected to range between $2.03 and $2.06 versus $1.63 in 2022. This outlook reflects our current belief that improvements in student retention, partly supported by the positive impact from various student aid initiatives implemented by the current administration will continue to persist through the remainder of 2023. Full year revenue is expected to be higher than 2022, reflecting the benefits from recent acquisitions and the academic calendar redesign CTU as well as the underlying organic improvements in student retention and engagement. AIU Systems reported total enrollment at the end of 2023 are expected to be lower as compared to year-end 2022 due to the operational changes that were undertaken at AIUS to ensure compliance with any anticipated or final regulatory changes. However, reported total enrollments at CTU are expected to be higher than 2022 despite a negative impact from the academic calendar redesign, signifying underlying organic growth. For the fourth quarter of 2023, we expect adjusted operating income to be in the range of $15.5 million to $18.5 million as compared to $32.4 million in the prior year quarter, with adjusted earnings per diluted share to range between $0.21 and $0.24 per diluted share versus $0.31 in the fourth quarter of 2022. Let me take a minute to provide some necessary details and context around the fourth quarter's expected performance. Fourth quarter revenue is expected to exhibit an inflated decline which is not reflective of the underlying operating performance. Revenue will decline at CTU due to the academic calendar redesign and its timing impact on revenue days in the fourth quarter. At AIU System, the operational changes discussed earlier and the resulting to lower total enrollments have negatively impacted revenue with the peak impact on revenue and total enrollments to be felt in the fourth quarter. As operations revert to normalized levels in the fourth quarter, we expect AIU System's total enrollments and revenue in subsequent quarters to show significant growth as compared to the fourth quarter. Our 2023 outlook also assumes ongoing investments in technology, data analytics, academics and student support processes. We believe these investments have been successful in positively impacting economic outcomes and student experiences. We will also continue to increase the size of the corporate partnership staff and may make selective investments in our recent acquisitions as they further integrate within our academic institutions. We ask that you refer to our earnings release filed today for important information about the key assumptions and factors underlying our 2023 outlook and other expectations discussed on today's call as well as the GAAP to non-GAAP reconciliations. With that, I will turn the call back over to Andrew for his closing remarks. Andrew?
Andrew Hurst: Thanks, Ashish. We are pleased with our third quarter operating results and look forward to executing on our various initiatives discussed earlier that focus on further enhancing academic outcomes and student experiences. Thank you again for joining us today.
Operator: Thank you. This does conclude today's conference call. Thank you for participating. You may now disconnect.
Q - :